Operator: Good morning, and welcome to the First Quarter 2013 Earnings Release Conference Call for FMC Corporation. [Operator Instructions] I will now turn the conference call over to Mr. Andrew Sandifer, Vice President, Strategic Development and Investor Relations for FMC Corporation. Mr. Sandifer, sir, you may begin.
Andrew D. Sandifer: Thanks, Tony. Good morning, and welcome, everyone, to FMC's First Quarter 2013 Conference Call and Webcast. Joining me today are Pierre Brondeau, President, Chief Executive Officer and Chairman; and Paul Graves, Executive Vice President and Chief Financial Officer. Let me start by reminding everyone that our discussion today will include certain statements that are forward-looking and subject to various risks and uncertainties concerning specific factors that are summarized in FMC's 2012 Form 10-K, our most recent Form 10-Q and other SEC filings. This information represents our best judgment based on today's information. Actual results may vary based upon these risks and uncertainties. Our discussion today will focus on adjusted earnings for all income statement and EPS references. Under the heading entitled Glossary of Financial Terms on our website available at fmc.com, you will find the definition of adjusted earnings and certain other non-GAAP financial terms that we may refer to during today's conference call. Also on our website, we've posted our current 2013 outlook statement, which provides our guidance for the full year and second quarter 2013 and a reconciliation to the GAAP to the non-GAAP figures we will use today. Based on our earnings release last night, we have a lot to cover. So let me now turn it over to Pierre.
Pierre R. Brondeau: Thank you, Andrew, and good morning, everyone. In our earnings release last night, you saw that FMC posted strong results for the first quarter in 2013 and have taken several strategic decisions to solidify our path toward meeting our Vision 2015 goals, while positioning the company for continued growth beyond 2015. What I would like to do this morning is begin the call with a recap of our first quarter performance. Then have Paul provide an update on the company's financial position. During those comments, we will refer to our results under our current reporting structure. I will then review the benefits and rationale of our announcement portfolio realignment. Finally, we will be joined by Mark Douglas, President, FMC Agricultural Solutions; Ed Flynn, President, FMC Minerals; and Mike Smith, Vice President and Global Business Director, FMC Health and Nutrition to address your questions. First, looking at the quarter. FMC delivered 10% growth on adjusted operating profit versus the prior year period. Total company sales of $990 million increased $50 million or 5% versus last year, led by continued strong performance in our Agricultural and BioPolymer businesses. Regionally, sales grew 19% in North America. EMEA was up 11%. Asian RDEs were up 11%, while Latin America was down 16%. Gross margin percent remained flat to last year at 37%. SG&A and R&D expenses of $148 million were also flat to last year. We delivered adjusted earnings of $1.10 per diluted share, an increase of 13% versus the year ago quarter. Let's turn to a more detailed look at our first quarter performance in each of the operating segments. First, in Agricultural Products. First quarter sales of $495 million increased 9% versus the prior year quarter, driven by strength in North America and successful new product introductions around the world. Similar to the fourth quarter, North America saw strong early seasonal demand, particularly for resistance management product. In Latin America, due to the reduction in cotton planted area and a slow start in the sugarcane segment, sales decreased versus last year. However, market indications suggest increase in planted area in sugarcane, cotton and soybeans for the 2013 crop year, which signals strong performance in Brazil for the rest of the year. Sales in Asia were up, with growth from new products, partially offset by lower sales in Australia, the market which has been significantly impacted by drought conditions. In EMEA, sales were up with growth from our recent alliance, as well as timing of sales into Africa. Segment earnings for Agricultural Products of $163 million increased 25% versus the year ago quarter. This increase was driven in large part by higher volumes, favorable product and regional mix and targeted price increases. To put first quarter results for Ag in perspective, with sales up 9%, following a 20% increase in Q4, we are continuing to deliver leading performance across growing seasons. This performance is even more remarkable in light of the decrease in planted acreage for cotton in Brazil, highlighting our continued strength in our core crops. The progress we are making in penetrating other crops and limited reliance in any single crop or region. Additionally, we continue to benefit from the strong market acceptance of our resistance management products in North America, giving us a favorable mix impact. And as I will discuss further, when I share our outlook, we are expecting a strong season in Brazil, with increased planting acreage especially for cotton, sugarcane and soybeans, supported by new products that are already in strong demand. I would like now to move on to Specialty Chemicals. Revenue in Specialty Chemicals was $236 million, up 9% versus the year ago quarter, with strong volume growth in BioPolymer, partially offset by lower Lithium volumes. BioPolymer sales grew in the high-double-digit percent, with volume growth in all of our core product segment, which benefited from a recent capacity expansion, as well as growth in our newly-acquired product line. We continue to see strong demand growth in Asia market and are pleased with the construction progress in our new Thailand facility expected to come online late in 2014. Lithium sales were down mid-double digits, driven by lower volumes as a result of our continued production constraint. Segment earnings were up 6% to $46 million due to strong BioPolymer performance, but partially offset by expected weak financial performance in Lithium, which was substantially lower than prior year profitability. In our last conference call, we described the challenges of the Lithium business experienced in 2012. During the first quarter of this year, we identified and validated manufacturing process and equipment changes. This will improve production rates of final salt brine, debottlenecking the operation and achieving a full targeted production rate at our Argentina Lithium operation. During the first quarter, we sustained production at throughput rates higher than the pre-expansion level. We also successfully demonstrated an extended full scale test production at 20% above pre-expansion levels. We are abbreviating our normal third quarter maintenance outage and adding an additional shutdown in the second quarter to allow phased implementation of these proven changes to our manufacturing process. This will position us to ramp up final salt brine production during the third quarter to the targeted 25% expansion throughput rate that we have discussed in past quarters. And because it takes about 4 months on average to go from final salt brine to saleable Lithium product, we will begin to see the final financial benefit of the expansion in the fourth quarter with a return to mid-to-high teens operating profit. As mentioned last quarter, we have also launched several Manufacturing Excellence initiatives in our Lithium operation that will reduce further manufacturing costs. We expect benefits from increased throughput and Manufacturing Excellence to be fully realized in 2014. Moving to Industrial Chemicals. Revenues in Industrial Chemicals decreased 5% to $260 million, with high volume in Alkali offset by lower export prices. Segment earnings of $33 million were down 37% versus a year ago when overall soda ash export pricing was much higher. In Alkali Chemicals, revenues were down mid-single-digit percent, with higher export volumes and higher domestic pricing offset by continued pressure on export prices, particularly in Asia. Although domestic soda ash prices were up slightly in the quarter, our overall average soda ash price was down in the high-double-digit dollars per ton in the first quarter versus the prior year. As anticipated, soda ash prices in Asia softened in the first quarter. We continue to see signs that Asian pricing is reaching a trough, with producers in China still only providing monthly rate, monthly rather than quarterly contract pricing. We are also encouraged by the recent $30 per tonne price increase announced by ANSAC. And we continue to expect Asian prices to start increasing in the second quarter, though given the slower than expected GDP growth in China so far this year, we feel this pricing is likely to be later in the quarter than we initially anticipated. So overall, the quarter turned out largely as expected, with strong performance from our Ag and BioPolymer businesses. Weakness in Asian soda ash pricing and a path forward for Lithium to deliver on its capacity expansion finalized. With that, I will now turn the call over to Paul Graves to cover our financial position.
Paul W. Graves: Thanks, Pierre, and good morning, everyone. Today, I'm going to briefly discuss working capital balances, cash generated from operations, progress on capital deployment plans, which includes capital additions, M&A and returns to shareholders. And finally, touch on our tax rate for the quarter and the full year. Let me start by making a few comments on quarterly trends in working capital and capital investments in each of our major businesses. First in the Agriculture business, where we generally have higher accounts receivable in the first quarter since we have carriable balances remaining to be collected in Latin America, where collection periods are measured in months rather than weeks. And we also make the majority of our North American sales in this quarter. We typically see receivables balances fall in the second and third quarters as customer payments are collected. However, we typically see that as the Southern Hemisphere growing season starts in the third quarter, receivables balances start to increase again. From an inventory perspective, we described to you last quarter that much of the recent increase in the inventory in Agriculture is related to excess inventory held as a direct result of 3 factors: Drought conditions in Australia, reduced cotton planted area in Brazil, and the delayed registration of a new product in Brazil. This inventory remains on the balance sheet and will do so on until the next Southern Hemisphere growing season gets underway in the second half of the year. A final component of working capital associated with our Ag business is accrued customer rebates, which are primarily related to the timing of North American sales. In general, these rebates accrue through the year and are mostly paid out in the fourth quarter. And taking these factors together, it's not unusual to see a cash outflow in this business in the first quarter, with the second and third quarters typically our strongest cash-generation periods. In BioPolymer, we have long supply chains, and for some raw materials, relatively short seasonal buying windows, especially in seaweed. And therefore the levels of inventory we hold in this business are relatively high. The first 2 quarters are seasonally our strongest, creating further upward pressure on inventory and in receivables during this part of the year. Although not as pronounced as in the Ag business, the first quarter is also one of the weaker cash-generation quarters for biopolymers. In Alkali, we hold relative little inventory. However, our collection terms are typically longer for export than for domestics sales. As exports continue to become a larger part of our business mix in Alkali, we expect to see our receivables balances increase, all other things being equal. Although not a seasonal effect, we would expect that increased revenues generated overseas will, therefore, have an impact in our working capital due to these extended collection terms. And to be clear, our position on working capital is to ensure that we maintain or improve our working capital productivity metrics. It is not to focus solely on the quarter-end balances. We recognize that our businesses have quite substantial amounts of capital tied up in working capital. However, we continue to have working capital productivity levels that are consistent with historic levels. We consistently look for ways to improve these metrics and currently have a number of programs in place focused on this. That said, any benefits we see will likely take multiple quarters to materialize in a meaningful way. With that backdrop, cash flow from operations in the first quarter was negative $32 million. However, we're reaffirming our guidance of generating cash from operations of $650 million in 2013, with the bulk of that cash expected to be generated in the second and third quarters. Shifting now to capital deployment. Capital additions in the first quarter of 2013, including that reported in the other investing activities line, totaled $33 million. We are reaffirming our expectation for 2013 of deploying $350 million into capital asset additions. We previously described to you that nearly half of our 2013 spending will go toward construction of the new BioPolymer MCC plant in Thailand and to support expansion in our Ag manufacturing network. Much of the spending on these projects will occur in the second half of the year. Secondly, in the first quarter, we acquired Nippon Sheet Glass's 6.25% minority interest in FMC Wyoming, which brings our ownership to 93.75%. This acquisition has led us to reduce our forecasted noncontrolling interest as reflected in the outlook statement posted to our website this morning. During the first quarter, we returned $128 million to shareholders, $18 million via dividends and $110 million via share repurchases. In the quarter, 1.8 million shares were repurchased at an average price of $59.61. We expect this to have an approximate full year positive impact on EPS of $0.04. As you also saw on our press release, the FMC board recently approved an expansion of the company's share repurchase authority to a total of $500 million, replacing the previous authority and any unused amounts. We expect to complete this new plan over the next 2 years. Our approach to share repurchases for the rest of this year will be related to the potential divestment that Pierre will talk about next. We believe we will generate enough cash from operations to fund the proposed capital investments and any acquisitions we may undertake. As such, we would expect to return a portion of the proceeds from the divestment of FMC Peroxygens to shareholders through share repurchases. And we'll consider these actions ahead of completion of the divestiture should we become comfortable that a divestment is reasonably likely to take place. Finally, our tax rate in the first quarter benefited from a one-off gain from tax credits relating to 2012 which because of the delay in the U.S. in passing budget legislation in December, we were unable to claim in 2012. We expect our tax rate for the subsequent quarters to be in line with our historical rate of 27.5%. With that, I'll turn the call back to Pierre.
Pierre R. Brondeau: Thank you, Paul. Let me now offer some additional context on the portfolio realignment we announced yesterday. When we launched Vision 2015, we committed to actively manage our portfolio of businesses to optimize the long term profitable growth of the company. This is precisely what we have done over the past 3 years. We exited the phosphate, sodium percarbonate and zeolites product lines and invested heavily in the growth of our core Ag and BioPolymer platforms. In our earnings yesterday -- release yesterday, we announced steps to simplify and focus the company's business portfolio around 3 core platforms where FMC has a sustainable competitive advantage. These platforms provide FMC with fast growth, high margin and high returns on capital. When we look at our portfolio, we see 2 growth platforms that are supported by a strong cash generator. Our first core platform is focused on functional ingredients for the food and pharmaceutical markets. Our BioPolymer business has been an industry leader in that space for decades and is on track to deliver its ninth straight year of record performance. BioPolymer is an important growth engine for FMC, and we believe there are exciting opportunities to expand our participation into broader adjacent markets. With this expanded scope, our BioPolymer business becomes a standalone reporting segment called FMC Health and Nutrition. This new segment name better reflect the broader marketplace where we will expand our participation to fuel accelerated growth organically and through external opportunities. Mike Smith who has run our BioPolymer division for the last 8 years will lead FMC Health and Nutrition. He and his team will implement a strategy to increase our investments to broaden FMC's participation in food, pharmaceutical, nutraceutical, personal care and related markets. Our second platform is our Agricultural Product business. As you all know, this is a high-growth platform that's well on track to deliver its 10th consecutive year of record performance. This business can outpace market growth as we leverage our technologies, expanded geographies and acquired new product lines to broaden and strengthen our portfolio. Our unique business model delivers sustained industry-leading growth and profitability. To recognize the breadth of product technology and service value we bring to the market, Agricultural Products Group will now be called FMC Agricultural Solutions and will remain [indiscernible]. And finally, our third platform called FMC Minerals closer[ph] as a strong foundation to support the growth initiatives in FMC Health and Nutrition and FMC Agricultural Solution. FMC Minerals includes our cost-advantaged Alkali business, which sits on the world's largest natural trona reserve. This business operates under a low-cost model using advanced extraction and processing technology. This third platform will also include our Lithium business, which employs similar manufacturing methods. Operating these 2 business with 1 segment allow us to leverage technical resources and more efficiently improve operating performance through Manufacturing Excellence. We will operate FMC Minerals based on the fundamentals as we see them, commodity businesses driven by supply/demand balance and relative cost position. Ed Flynn will lead the new FMC Minerals segment. He is a veteran FMC leader and brings deep experience in operating commodity mineral extraction businesses to our Lithium operation. As a result of this realignment, Michael Wilson, President of the former Specialty Chemicals group is leaving FMC to pursue other opportunities. All of us at the FMC wish him success and thank him for his leadership over the last 16 years. Finally, let me comment on Peroxygens. Although Peroxygens is a successful profitable business and has been an important part of FMC for many years, we no longer view it as a strategic fit given the evolution of our portfolio and our increased focus on the 3 core platforms. Given this, we have been exploring the potential divestiture of this business. During this assessment, FMC Peroxygens will become its own reporting segment. This new segment will include certain product lines currently sold through the Environmental Solutions businesses given the high degree of integration with the Peroxygens supply chain. We believe that with the right focus and investment, this business has strong growth potential, but we think that potential can be a lot more successful in by others. Let me now share with you our outlook for the second quarter and the full year 2013. Please note that all of our guidance is under our prior reporting segment. Before the end of this quarter, we will provide historical segment financials under the new reporting structure and will begin reporting this way with the second quarter results. For the second quarter, we expect to deliver adjusted earnings of $0.87 to $0.97 per diluted share, flat versus the second quarter of 2012. Continued strength in Agricultural Product with segment earnings in the second quarter expected to be up in the mid-to-high single digit percent versus a very strong second quarter in 2012. Specialty Chemicals segment earnings are expected to be flat, as continued weak performance in Lithium offsets growth in BioPolymer. In Industrial Chemicals, we expect earnings to decrease approximately 20% due to continued pricing pressure in export market, which we now expect to begin improving later this quarter. We are increasing our full year adjusted earnings by 9% to a range of $3.93 to $4.07 per diluted share, a 15% increase over 2012 at the midpoint of this range. This change demonstrates our confidence in the full year outlook and the benefit of investments we made in the first quarter. Our Agricultural Product Group is expected to deliver its 10th consecutive year of record earnings, driven by volume growth and new product globally as favorable grower economics and strong market conditions continue. Market indications in Brazil suggests increases in planted area in sugarcane, cotton and soybean for the 2013 crop year, which signals strong performance for the rest of the year and should result in operating earnings increasing in the mid-to-high teens percent for the year. In Specialty Chemicals, segment earnings are expected to increase in the mid-to-high single digit percent. Our BioPolymer business will benefit from capacity increases, while we implement process modifications to improve Lithium operations' operating performance. Finally, in Industrial Chemicals, we anticipate earnings to be down mid-single digit for the full year. Domestic soda ash prices are expected to be up in the low-to-mid single digit dollars per ton versus the prior year. Soda ash prices in export markets are expected to begin improving toward the end of the second quarter and will continue sequential improvement through the remainder of the year. The net result of domestic and export pricing actions for soda ash should be a global average price for the year, which will be down compared to 2012. We also expect to begin seeing the benefits of our Manufacturing Excellence initiatives during 2013, which will enable volume growth and partially offset the weakness in pricing. With that, I thank you for your time and attention, and I would be happy to take your questions. Operator, please?
Operator: [Operator Instructions] And we'll take our first question in queue from Laurence Alexander with Jefferies.
Robert Walker - Jefferies & Company, Inc., Research Division: This is Rob Walker on for Laurence. I guess, in Ag this quarter you had 80%-plus incremental margins, was that simply mix? And I guess why do you expect that to change later this year?
Pierre R. Brondeau: Yes, it's the improvement in operating profit is mostly due to a mix -- a regional mix. And we expect and you see that every year usually operating earnings go down in the second half of the year when the market is more driven by Latin America and Brazil and is higher in the first part of the year when it's driven more by North America and EMEA.
Robert Walker - Jefferies & Company, Inc., Research Division: Okay, great. And then on the assets for potential divestiture. Could you give us a rough EBITDA margin estimate for kind of the assets you're considering and a timeline for what you're using to make a decision?
Pierre R. Brondeau: Regarding the timeline, we believe the process is going to be moving forward at a good pace. I would actually believe that a divestiture of this business or at least a contract signed with a buyer would be possible somewhere between the end of the third quarter and the beginning of -- and the end of the fourth quarter. So sometime in the last 4 months of 2013. In terms of EBITDA for the business, we're going to take a little time to reissue all of the earnings number, EBITDA numbers, EBIT number for each of the segment during this quarter. So while we are doing this work, and we'll be issuing that for you guys to update your model, I don't want to be too precise, but I would say that our Peroxygens business has EBITDA margin which are in the mid-to-high teens.
Operator: Our next question in queue will come from Kevin McCarthy with Bank of America Merrill Lynch.
Christopher Perrella - BofA Merrill Lynch, Research Division: This is Chris Perrella on for Kevin. Jumping to the Lithium business, what's the outlook for pricing for 2013 within Lithium? And in terms of volume production, I know you took more shutdowns in the first quarter. Will you be able to produce more Lithium in the second quarter?
Pierre R. Brondeau: So in terms of pricing, 2012 -- 2013, sorry, is a year of flat pricing. There is not much change on the market today, and we have stability. From a volume, I really think that you have to look at 2 things. First of all, the second quarter, we're going to be taking a shutdown. We're going to be implementing the retrofitting of the plant to run the plants under the new process. So on a change process. So I would not expect significant volume change. You will start to see volume change of the brine in the third quarter. We'll still have a little outage, a shorter one. You will see volume change from a brine standpoint in the third quarter, and we'll be reporting on that. But as you know, there is about 3- to 4-month period before you actually see that increase in production into the final saleable Lithium process, whether it's your hydroxide carbonate or butyl. So it's really in the fourth quarter that we're going to see the translation of this improved production into financial results.
Christopher Perrella - BofA Merrill Lynch, Research Division: All right. And just a brief follow-up on Ag, with the delayed U.S. planting, what's the risk or what crops would be most affected for FMC?
Pierre R. Brondeau: It's going to be very low or no impact to us, but I'm going to ask Mark, Mark Douglas to give you a better color on what is happening overall for the industry with the delayed planting, which we estimate and Mark should confirm that by being about a couple of weeks.
Mark A. Douglas: Thanks, Pierre. As Pierre just said, we're looking at a couple of weeks to maybe 3 weeks delay right now. We know people are obviously planting. The weather changed from last weekend. Although if you watch the weather forecast every day, in the Midwest it's changing quite rapidly. It's too early to tell what the impact on us would be. We have a lot of preemergence and resistance products in the pipeline right now, as you could tell from our -- our Q1 sales very strong. It's a great business for us in North America. I wouldn't say right now there is any impact on us. We have a broad portfolio. We have insecticides, herbicides and fungicides. And as you know, we tend to focus on a lot of the niche crops. So right now, we don't see any impact.
Operator: Our next question in queue will come from John McNulty with Crédit Suisse.
Alina Khaykin : This is actually Alina Khaykin sitting in for John. So first on Lithium, kind of given all the noise and moving parts over the past year or so, how should we be thinking about operating leverage or earnings from the business as we move through the year? I know it's obviously going to get higher in the back half, but can you give us some kind of order of magnitude?
Pierre R. Brondeau: Sure, let me broadly quantify what we are talking about today. We believe we do have process changes today under control. And we do believe the ramp-up will take place through the third quarter, with impact on the financial results in the fourth quarter. All of these will average to a range of about 10% operating earnings throughout the year. We believe it's a business which could sustain as soon as next year operating earnings in the 20% range. So think about a $250 million and a doubling of the earnings from the high-single digit, low teens into the high-teens 20% range.
Alina Khaykin : Okay, that's helpful. And then also on the cash flow, in the past, you've indicated that you would buy back about $100 million the $150 million per year and you kind a hit that range already in 1Q. So are you taking a more aggressive approach to deploying cash towards stock buybacks? Or was it just more of a one-off opportunistic approach this quarter?
Pierre R. Brondeau: Well, I think -- I'll ask Paul to add to my comment, but I think it's 2 situations, which are happening in parallel and which are not connected. You know that we committed to do, to return to -- when we did our last analyst call, we committed to return around $150 million to shareholders, with a blend of stock buyback and dividends over the next 3 years. And actually, this is what we did in the first quarter. Looking at the strength of our business, the confidence we have in the year and where we are going, we decided to take advantage of what we believe was a strong cash flow situation and strength in our core businesses to do a stock buyback in the first quarter. So this is in line with what we decided to do every year and then we have the dividend, following the dividend increase we announced in the last December. Now there is another event which is taking place, our decision to simplify our portfolio and exploring the divestiture of the Peroxygen business. That is something which, we believe, will lead to a more aggressive stock buyback once the proceed -- or just ahead of the divestiture once we are certain of where we are going. That should accelerate and amplify our stock buyback for 2013 into 2014. Paul, you want to add something?
Paul W. Graves: The only thing I would add is, historically, we've made our share repurchase at various times of the year, and it just made sense to us to get this repurchase done in the first quarter. No big policy reason behind that. No change to the way we think about repurchases, but we wanted to get this done in the first quarter because it just made more sense to do so.
Operator: Our next question in queue will come from Mike Sison with KeyBanc.
Michael J. Sison - KeyBanc Capital Markets Inc., Research Division: In terms of Industrial Chemicals, I mean, you take a look at the year, can you help us understand why, at least in your opinion, soda ash price export should start to improve? And then if it doesn't, if it still happens it doesn't, what would the outlook for you look like? I mean, it seems like that's the only variable in that segment that causes some uncertainty for you.
Pierre R. Brondeau: Mike, first, you're correct. If I look at all of the variables we have in front of us, we do have a good handle on pretty much everything in the business, including Lithium. Now we believe we are at the execution stage, not an investigation stage. The place where we don't have full control, of course, the pricing situation export. There is multiple signs, and I will ask Ed Flynn to add to my comment, but there is multiple signs. The first one is clearly, there was no further decrease and a very clear signal of stabilization in the pricing in the month of March. So it seems every indicator we have seems to be showing that the pricing are reaching the bottom in the month of March. We are confirming, and our people on the ground over there have confirmed, that the Chinese producer as we said in the last call are not giving 3 months contract anymore. We just confirmed that. We had a team flying out to Asia last week. They're only going with monthly supply, which usually is a very good indication. You've also heard that ANSAC and all of the members of ANSAC have decided on a price increase for Asia of 30 tonnes -- of $30 per tonne. If you look from an industry dynamic, we are seeing 2 things happening. There is a start of a rationalization in terms of production and there has been a couple of companies, which have been announcing shutdowns and those are the high-cost producers, which have been announcing shutdown of capacity, and that will be tightening supplier supply into Asia. The final indicator, which come into our model is, despite the fact that Chinese GDP is not as robust as what we were expecting, some of the market, which are a leading market for soda ash are showing strength. And we're talking about the automotive industry, as well as the flat glass industry. So when we bring all of that, we do have the belief that there is no reason for us not to see price increase starting to rise in the end of the second quarter, showing impact in the third and fourth quarter. Ed, if you want to add anything?
Edward T. Flynn: No, I think you've covered it well, Pierre.
Michael J. Sison - KeyBanc Capital Markets Inc., Research Division: Okay. And then just one quick follow-up. On the Ag side, I was surprised to hear that Latin America is a little bit sluggish and impressed that the rest of the areas -- geographies were able to overcome that. So when you think about your comments of growth in acreage, are you seeing orders in those areas, or maybe just give us a little bit of color of what you're seeing now to show that Latin America is going to recover as the year unfolds?
Pierre R. Brondeau: Yes, Mike, it's quite simple. The statements we are making are linked to orders, which are coming in very strongly for the Latin America and especially the Brazil season. As you know, you really see the sales in the third and fourth quarter, but orders are coming in very strong, and we also do have statistics and information around the planted acres. And I think, Mark, could you please confirm pretty much across the board, including cotton, we're expecting right now acreage increase?
Mark A. Douglas: Yes, Pierre. We're seeing cotton acreage increases. We know soybean is increasing. It's a strong replanting season for sugarcane where we have great market share. So all those crops for us are important down in Brazil. We're also seeing growth in Argentina, as well as the other Latin American countries. Mike, I think the other thing I would add is, we're introducing some new products this year into Brazil that already we have registration for and we're seeing good demand. So I'm very confident that as we approach the third and fourth quarters for Latin America, it will be a very strong season for us.
Operator: And our next question in queue will come from Mike Harrison with First Analysis.
Michael J. Harrison - First Analysis Securities Corporation, Research Division: Just sticking with Ag for a minute, it sounds like a nice driver of the mix was products dealing with resistance streams. Are those typically more geared towards preemergent treatments that are going to be your highest profitability? Or is it something that -- something that we could see being strong all through the North American growing season?
Pierre R. Brondeau: I think in Ag, we do have a very strong preemergence product line with a very strong mix here. So the impact is usually more visible in that part of the business down than in the rescue market, for example. I think we do have technology, which are -- which is very, very strong, especially around corn, woodworm resistance, around glyphosate resistance. I think we've developed product, which are very much in line with the trend we are seeing today in the market from a resistance standpoint. So we tend to have a stronger from a mix and profitability standpoint, preemergence market. I do not want to say that you can apply the same type of reasoning to the entire product line. Mark, you want to add something?
Mark A. Douglas: No, you've nailed it. I wouldn't add anything else.
Michael J. Harrison - First Analysis Securities Corporation, Research Division: All right. Maybe a couple of questions on the Lithium business. Just in terms of realigning Lithium and combining it with the soda ash business. Clearly, soda ash is something you use in the Lithium carbonate production process. But can you just help us better understand some of the overlap between those 2 businesses? And does the combination there suggest that you might be focusing more on, in the future, on mining of Lithium hard rock resources as opposed to brine-based production?
Pierre R. Brondeau: All right. First, when we bring those business together, it is not because they do have a connection at the end market or because we do use soda ash in Lithium. I think the reasons for which we are bringing those business together is first, the success as we have seen in the last few quarters, the success or failure of this business will depend upon our ability to run strong Manufacturing Excellence program and be able to be a low-cost producer. There is lots of commonality from a manufacturing standpoint, extraction standpoint, separation standpoint between the 2 manufacturing process. Actually, there is a team, which is putting in place all of the process change, which is supporting our Lithium operations. That is the team today, which the technology team from our Wyoming soda ash plant. So you do have a lot of manufacturing synergies and the need to operate those 2 businesses as low-cost reliable manufacturing processes. That's the first one. The second one is the leadership we have to run those businesses. Ed Flynn will be running this group. Eric Norris will stay to run the Lithium business, and he's doing a tremendous job by turning the situation around. We are convinced those business needs to be run as commodity business driven by supply/demand. There is high barriers to entry when you want to get into the Lithium business, but once the product is made, they are very often interchangeable. I think you take a product made by a good manufacturer like Rockwood. All the quality will be very identical to the quality of a good product made by FMC. So you get into a situation where supply/demand will guide how this business is doing. And we want to be managing the business the same way we do in soda ash, being very careful in understanding the end market to decide upon capacity. Those are the reasons. We are not intending to go more toward rock mining, spodumene production, while staying very true to what we know best, how to do today from a manufacturing standpoint, which is brine production.
Michael J. Harrison - First Analysis Securities Corporation, Research Division: All right. And then just in terms of the resource in Argentina, how long is the expected maintenance shutdown in Q2? And in terms of the process changes, does the new process rely any more or less on evaporation?
Pierre R. Brondeau: Yes, the new process doesn't rely more or less, the same thing. I think the biggest challenges we had, the process today, now the way we -- the process is designed with the different ponds we had and in operation process is very defined. Lots of the technology, which had to be worked on were around separation technology. And that's where we did most of the work in order to make sure that the ponds we used to have operating at very different concentration of Lithium would be operating with the same efficiency over the long run and what were the operating parameters to do that. This is what we have been working on. So we do believe now that we do have the evaporation well under control. We believe that we can feed of course as soon as -- we have always have to take into account the seasons and the winter versus the summer. But we do believe that we know now how to produce high-concentrated product, which will feed the separation. And we believe that we know how to run the separation pond in a way which will work as well, with high concentration versus lower concentration. So those were mostly the changes we are working on. I think the shutdown is going to be -- we're going to see as it goes, that's why we're not expecting much coming from the second quarter. It's going to be multiple weeks of shutdown in the second quarter.
Operator: We'll move on to our next question from Peter Butler with Glenn Hill Investments.
Peter Butler: If one was optimistic on the proceeds from the sale of the Peroxygen business, it's -- would you be expecting to get something like 3x sales or more?
Pierre R. Brondeau: No, I think we do not want, at this stage, to publicly speculate around how much we're expecting from the Peroxygen business. But as we said before, it's a $350 million business, with EBITDA margin in the high-teens. If you look at that -- and comps are fairly easy to find in terms of EBITDA multiples. So but I can tell you definitely I would be very happy to get 3x sales, but we will not get 3x sales for that business. Unless you know somebody who can do that, then please help me.
Peter Butler: Well, you got an expert sitting next side -- beside you, don't you?
Pierre R. Brondeau: Yes, unfortunately, he's not a banker anymore. He's just a regular CFO. No, seriously, Peter, I think it's a good question. It's important for us to have a good divestiture process because it is a good business. It has a good potential. It's healthy business. It's not a turnaround situation at all. So we are selling a good business, which has a growth platform, a specialty platform and a commodity platform. So it is a very interesting business, which returns cost of capital, which has good EBITDA margin and cash generation. So it's going to be a good sale, but this kind of business don't go for 2x or 3x sale. But we're expecting good proceed, which will be important to keep on returning more aggressively in the coming quarters cash to our shareholders and also be important for the growth of the company.
Peter Butler: Does this -- you've separated out the Peroxygens, but you've sort of consolidated the Lithium. Does this say that Lithium is a keeper?
Pierre R. Brondeau: Yes, for now, Lithium is a keeper. I think it's a platform. As I said, what we wanted to do -- Peroxygen is a great business. I do not believe today, it's a business where we are -- looking at the strategy we have in the company, the prioritization from one of the places where we are highly differentiated. I think we decided to focus our capital spending, research money and acquisition money into the 3 platform where we believe we are or can be advantaged and where we have growth potential. Today, with the work we have done, we are feeling much better than 6 months ago about Lithium, so we believe Lithium is part of that portfolio.
Operator: Our next question in queue will come from Brian Maguire from Goldman Sachs.
Brian Maguire - Goldman Sachs Group Inc., Research Division: Just wanted to ask quickly on the deceleration in the Agricultural sales growth that went from a year-over-year growth of about 20% in the fourth quarter down to 9%. I'm just wondering if in hindsight, there might not have been some pull-forward in demand into the unusually strong fourth quarter? And kind of related to that, what kind of gives you confidence that it's going to rebound back to -- looks like you're expecting kind of a north of 20% sales growth rate for much of the rest of the year?
Pierre R. Brondeau: I think when -- we always look -- I mean, we report sales like any public company on a quarterly basis, but you know how much 2 weeks of orders can make a difference when you are jumping from a season to another. The fourth quarter is the strongest season in Brazil, and you just need the sales to be moved up or move down by the customers, and you can see major changes in the way sales are. So what we do here internally is very often we look at sales growth over a season. So we've been growing historically in the mid-teens and up. And I think if you look over a 2 quarters' period, we are in the 15% growth, if you take the fourth quarter and the first quarter, between Latin America and North America. And we believe if you look at the 15% growth over those 2 quarters, it's still a leading growth number. We believe it's a strong performance, especially -- I mean, let's face it, cotton, which is a big crop for us decreased in acreage in the fourth quarter last year. So we had some headwind, which we do not believe will be here going into the second half of this year. That's why we are forecasting a growth rate for the second half of the year between performance of the business today, new product introduction, orders which we have in the book. We are looking at a growth rate north of 15% and more in the 18% to 20%. That's for the Ag business than that we've seen as an average for the last 2 quarters. But I think we always have -- and you know that very well. There is no deceleration at all. There is seasons and there is a season which is more influenced by Brazil, one which is more influenced by North America and depending upon where few weeks go, you have a change in number. So we tend to -- between growing seasons together rather than looking at quarters when we analyze the business.
Brian Maguire - Goldman Sachs Group Inc., Research Division: Okay, great. And just looking at the potential sale of Peroxygens. It looks like, based on a $350 million of sales and a high-teen to EBITDA margin, it would probably be dilutive to EPS by around $0.25. So I'm just wondering if you are committing to buyback a amount of stock to sort of offset that level of dilution, or should we expect maybe less than that?
Pierre R. Brondeau: Yes. A couple of things. It should be dilutive less than the number you are stating here in terms of EPS. So yes, there will be a dilution from the sales, but there will be a compensation through stock buyback. I don't want yet to comment around what will be the impact for the year. We're going to work through this process as we see the sale going. Let me tell you, if I would say at a high level how Paul and I will look at that financial transaction if all falls in place. We believe there could be a dilution in terms of operating profit, which would be due to the sale of the business, which is a profitable business. There would be a stock buyback, which would at least compensate for the loss of operating earning into EPS to avoid to see a dilution at the EPS level. Following that, the refocus on 3 platform, and especially on Health and Nutrition, should allow us to make some bolt-on acquisition to buy back, if I may say, EBIT when we look at our 2015. So if all goes well, you could see very little reduction of your EBIT when we target Vision 2015 numbers. But potentially, an improvement on your EPS number.
Operator: Our next question in queue will come from Frank Mitsch from Wells Fargo Securities.
Sabina Chatterjee - Wells Fargo Securities, LLC, Research Division: It's Sabina Chatterjee in for Frank Mitsch. Just some quick follow-ups, Pierre. Can you quantify the amount of Asian capacity that's shutting down when you mentioned the Industrial Chemicals? And how many more of these $30 per tonne-type increases do you think you'll need to hit the full year guidance for that segment?
Pierre R. Brondeau: Well, first, I talked about shutdown, I did not specify Asian shutdown per se. I think I do not like too much to talk about other companies. I think those shutdowns have been publicly announced. So if you want to take a look at that, it's just difficult for me to comment about other publicly traded companies or companies in the call. But those shutdowns are defined and have been publicly announced. I think we do not need another price increase announcement. I think we will see how it goes. We have a price increase announcement now. And then we're going to be managing the market as it goes and see where this number is going to take us. But I want to make sure we don't mislead people when we talk about pricing being low in Asia. It is low. But to bridge the gap between an Asia pricing and the domestic pricing, you don't need multiple $30 increase.
Sabina Chatterjee - Wells Fargo Securities, LLC, Research Division: Okay. And then on the Argentina Lithium question, you're calling for flat EBIT in Q2, so I guess the costs aren't going to be that onerous. And then we should get a nice boost in Q4, but it doesn't look like guidance is calling for that. So can you help me reconcile that? Is it that you see Q3 down from Q2 levels? Is that a seasonality issue?
Pierre R. Brondeau: No, I think what we're going to see is Q2 is going to be low because, as I said, the plants will be down. And it's not going to be -- you're correct, it is not going to be a very high-capital spending to get the plant to operate. It's a fairly -- those are more technology reasons and process changes. So it's not going to be a high expense, but the plant is going to be off for a while. We are looking at a slight improvement in earnings for Lithium in the third quarter, more toward the back end of the quarter. And it is only because when you produce salt brine between that time and the time you have your Lithium compound, whether it's butyl or a hydroxide, or a chloride, it takes about 3 to 4 months. So if you look -- imagine the plant, as we begin the retrofit at the beginning of the second quarter. We start to increase capacity toward the back end of the second quarter into the beginning of the third quarter, those products will only hit the market by the very end of the third quarter. So you will have a slight improvement in the third quarter, and you will start to see your mid-teens EBIT in the fourth quarter.
Operator: And we will take our last question today from the line of Rosemarie Morbelli from Gabelli.
Rosemarie J. Morbelli - Gabelli & Company, Inc.: Pierre, have you seen any signs of pickup in the demand for Lithium related to either HEV or EV or energy storage? Or is that still kind of on hold?
Pierre R. Brondeau: I have to say that it is still pretty much the same story that we have been talking about for the last 6 month, which is, there is expectation which are differing from a company to another. But roughly, we are seeing the growth for EV if it takes off -- to take off post 2015. And it's a bit slower than what most company would have said 1 year or 2 ago. So there is no significant change or increase in pace in this market today. I think the growth from an energy standpoint is more driven by electronic device than it is by electric vehicles.
Rosemarie J. Morbelli - Gabelli & Company, Inc.: And are those still growing at about -- I mean, in terms of the demand for Lithium, at about a 10% a year?
Pierre R. Brondeau: Yes, correct. That's the right number.
Rosemarie J. Morbelli - Gabelli & Company, Inc.: And since we are on Lithium, could you update us on the restructuring going on at your plant in North Carolina?
Pierre R. Brondeau: Yes, it's going well. I think we are hitting all of the marks from a cost reduction, staffing reduction, improved operations, so we are right on where we were expecting to be.
Rosemarie J. Morbelli - Gabelli & Company, Inc.: And would that be enough to offset some of the expectations from the plant -- yes, the operation in Argentina?
Pierre R. Brondeau: No. If you look -- we are looking -- there won't be a positive impact this year, but which is pretty much into the [indiscernible] already. The way capitalization of manufacturing variance work and the way the accounting work and the speed at which you do it, our objective really is -- I mean, those are bits and pieces, which will improve the picture. But really for us, it's getting the plant to be changed in the second quarter, having full rate production reached of brine in the third quarter, bring this business to a mid-teens EBIT to sales ratio in the fourth quarter, get that business to a 20% operating earning to sales over 2014.
Rosemarie J. Morbelli - Gabelli & Company, Inc.: Okay. And then on another subject. You talked about seeing some signs of demand for flat glass increasing in China. And if I am correct, demand for flat glass usually leads the demand -- the growth in commercial construction by about 6 months? First of all, am I correct in that assumption? And are you seeing the same type of demand in North America for the flat glass?
Pierre R. Brondeau: No, I think we are not seeing the same type of jump in North America for flat glass.
Rosemarie J. Morbelli - Gabelli & Company, Inc.: And am I correct, Pierre, in thinking that it leads commercial construction?
Pierre R. Brondeau: Yes, your assumption is correct. When you see the demand, it's a sign in the building and construction, mostly driven by commercial. And yes, it's a 3 to 6, 7-month timing.
Operator: And at this time, we'll return the call back to Mr. Brondeau for closing remarks.
Pierre R. Brondeau: Thank you very much, and thank you all for your question. I believe we had a strong first quarter. We believe that even in an environment of prolonged economic uncertainty, 2013 will be another record year for FMC, with EPS up 15% versus prior year. By the fourth quarter, we expect to see a recovery in FMC Minerals, with increased export pricing versus the prior year and manufacturing improvements in Lithium that will return the business to normalized EBIT margins. FMC Health and Nutrition will continue to strengthen its portfolio, while growing sales in a double-digit range. And FMC Agricultural Solutions will again outpace market growth on mid-to-high teens increases. We have delivered leading performance for several years. We will close the year with our 3 core business platforms performing strongly, and I'm confident that our portfolio realignment will accelerate our growth, continue our steady course to deliver our Vision 2015 goals and position the company for continued success beyond 2015. Thank you very much.
Operator: Thank you. And ladies and gentlemen, this conference will be available for replay after 1 p.m. Eastern Time today running through June 1 at midnight. You may access the AT&T Executive playback service at anytime by dialing (800) 475-6701 and entering the access code of 277292. International participants may dial (320) 365-3844. And this does conclude the FMC Corporation First quarter 2013 Earnings Release Conference Call. You may disconnect.